Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time [Operator Instructions]. I would now like to turn the conference over to Christine Cannella, Assistant Vice President of Investor Relations. You may begin.
Christine Cannella: Thank you, Melissa. Good morning, everyone, and welcome to Fresh Del Monte Produce first quarter 2016 conference call. Joining me today are Mohammad Abu-Ghazaleh, Chairman and Chief Executive Officer, and Richard Contreras, Senior Vice President and Chief Financial Officer. This call complements our first quarter press release we made public this morning. And you can find that release or register for future distributions by visiting our website at www.freshdelmonte.com and clicking on Investor Relations. This conference call is being webcast and will be available for replay approximately two hours after conclusion of this call. Our press release includes reconciliations of any non-GAAP financial measures we mention today to their corresponding GAAP measures. Before we start please remember that matters discussed on today's call may include forward-looking statements within the provisions of the Federal Securities Safe Harbor Laws. Forward-looking statements involve risks and uncertainties, which are more fully described in today's press release and our SEC filings. These risk factors may cause actual Company results to differ materially. This call is the property of Fresh Del Monte Produce. Redistribution, retransmission, or rebroadcast of this call in any form without our written consent is strictly prohibited. Let me turn the call now over to Mohammad.
Mohammad Abu-Ghazaleh: Thank you, Christine. Good morning, everyone. We had a great first quarter and a very good start of 2016. We benefited from the strategies we have put in place over the years to diversify our business, maximize operating efficiencies and control costs. As a result, comparable earnings per diluted share to $1.57 compared with comparable earnings per diluted share of $0.83 for the first quarter 2015. Net sales increased in our other fresh produce and banana business segments with net income 86% higher year-over-year at $82 million. Throughout the quarter we continued to make investments in our global production and sourcing capabilities and we enhance our distribution and value added footprint to meet growing consumer demand for healthy and nutritious food that is also convenient and ready-to-eat. We believe opportunities to extend our product offerings across distribution channel, ad markets will remain an area of growth for Fresh Del Monte Produce. In closing, I am pleased with the strong start to the year and I’m optimistic about the future of our business. We will continue to adjust our long-term plan which will enable us to build value by - due to unique growth opportunities that further strengthen our competitive position. At this time, I will turn the call over to Richard to discuss our financials in more detail. Richard?
Richard Contreras: Thank you, Mohammad, and good morning. For the first quarter of 2016, excluding asset impairments and other charges in 2016, on a comparable basis we reported earnings per diluted share of $1.57 compared with earnings per diluted share of $0.83 in 2015. Net sales were $10 million higher than the prior year period. Gross profit increased to a $141 million compared to a $100 million in 2015. Operating income for the quarter was $91 million compared with $58 million in the prior year and net income was $82 million compared with $44 million in the first quarter of 2015. Now turning to our business segments. In our banana business segment net sales increased to $459 million compared with $454 million in the first quarter of 2015 driven by higher sales volume in Asia and the Middle East primarily as a result of some of our expansion in the Philippines coming online. The increase in net sales was partially offset by lower sales volume in Europe. Overall for bananas volume was 2% higher than last year’s first quarter. Worldwide pricing decreased $0.08 to $14.81 per box, primarily a result of the carryover of strong industry supply in the fourth quarter of 2015. Total worldwide banana unit cost decreased 3% primarily due to lower transportation and fruit costs. And gross profit increased $13 million to $49 million compared with $36 million in the first quarter of 2015. In our other fresh produce business segment for the first quarter, net sales increased $16 million to $481 million compared with $465 million in the prior year. Gross profit increased $26 million to $77 million compared with $51 million in the first quarter of 2015. In our Gold Pineapple category, net sales increased 3% to a $125 million during the quarter due to higher sales in North America the result of higher volume. Overall volume increased 4%, unit pricing was 1% lower, and unit cost was 2% lower. In our fresh cut category, net sales increased 23% to $117 million compared with $95 million in the prior year. The increase was a result of higher sales in all of our regions driven by increased sales volume in both existing and new customers. Continued expansion in multiple distribution channels along with higher selling prices in Asia and North America. Overall volume was 23% higher, unit pricing was in line with the prior year period, and unit cost was 3% lower than the prior year. In our non-tropical category, net sales decreased 8% to $83 million compared with $90 million in the first quarter of 2015, a direct result of lower grape and stall food production from Chile. Volume decreased 13%, unit pricing increased 5%, and unit cost was 4% lower than the prior year. In our avocado category, net sales increased 10% to $44 million compared with $40 million in the prior year as we continue to grow our avocado business in North America to meet increased customer demand. Volume increased 47%, pricing was 25% lower and unit cost was 28%. In our prepared foods segment, net sales were $79 million compared with $90 million in the prior year due to lower sales in our poultry and canned pineapple product lines. Gross profit was $15 million compared with $14 million in the prior year. Now moving to cost for the first quarter, banana fruit cost which includes our own production and procurement from growers decreased 2% worldwide and represented 32% of our total cost of sales. Cotton cost decreased 5% and represented 4% of our total cost of sales. Bunker fuel cost per ton decreased 48% and represented 1% of our total cost of sales and total ocean freight cost during the quarter, which includes bunker fuel, third-party charters, and fleet operating cost was 15% lower. For the quarter, ocean freight represented 10% of our total cost of sale. As to foreign currency, the foreign currency impact at the sales level for the first quarter was unfavorable by $11 million and at the gross profit level was unfavorable by $2 million. Other income net for the quarter was $3 million compared with other expense net of $6 million in the prior year. The change was principally attributable to foreign exchange gains during the first quarter of 2016 compared with foreign exchange losses during the first quarter of 2015. As for our stock repurchase plan during the first quarter, we repurchased approximately 1.616 million shares or approximately $64.5 million. At the end of the quarter, our total debt was $280 million. Income tax expense was $11 million during the quarter compared with income tax expense of $5 million in the prior year. The increase was primarily due to the higher earnings. As it relates to capital spending, we spent $34 million on capital expenditures in the first quarter of 2016. We expect to spend approximately $160 million in full-year 2016. This concludes our financial review. We can now turn the call over for Q&A. Melissa.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Mitch Pinheiro from Wunderlich Securities. Your line is now open.
Mitch Pinheiro: Hello, can you hear me?
Mohammad Abu-Ghazaleh: Yes, we can hear you Mitch.
Mitch Pinheiro: Okay, good. Thank you, some little technical difficulties here. So, first question on banana supply and demand outlook, how is that look right now? It looks like Europe was down for you in terms of volume. Was that a price decision that you opted not to sell there? I would love to hear your thoughts around that?
Mohammad Abu-Ghazaleh: Every market we look at the volumes and location is based on what is favorable to the Company. So the movement of the fruit is usually based on profitability and not based on market share. So whatever we have seen in Europe, or the North America other parts of the world is based on actually where our interest and that’s the reason if there is more or less than one market or the other, Mitch.
Mitch Pinheiro: And what’s the outlook, what’s the current supply and demand outlook?
Mohammad Abu-Ghazaleh: More or less at this time I think it’s well balanced. I don’t believe that we have the same kind of trend that we had last year. I believe that this year could be better in terms of volume consistency that we will not have a huge uptick that we face last year, so I hope and I believe that it could be a more smooth sailing during the second half of the year.
Mitch Pinheiro: And is that on pricing?
Mohammad Abu-Ghazaleh: No, what I’m talking about volume and usually volume, dictates pricing, so if volumes is not extreme like what happened last year.
Mitch Pinheiro: Okay, understood.
Mohammad Abu-Ghazaleh: So hopefully pricing would not be affected negatively so much.
Mitch Pinheiro: Okay. And just one more question on bananas. I saw that a new story where you were looking to purchase 3,000 hectors of land in Panama. Where does that stand now? What's the status of that and if you could explain the strategy behind that?
Mohammad Abu-Ghazaleh: Well, as part of strategy and we estimate so many time is that we’ll look like to increase our own bananas - sourcing on own bananas and all those exist in that respect. The second thing is that we look at many part of the world and Panama is another world location that we could look at. Nothing [indiscernible], nothing serious, it’s just, and you know sometimes you read in the papers more than [indiscernible]. It’s one of the kind of potential areas where we [indiscernible], but nothing.
Mitch Pinheiro: Okay. And then all right both I’ll pass it on. Thank you very much.
Mohammad Abu-Ghazaleh: Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Jonathan Feeney with Athlos Research. Your line is now open.
Jonathan Feeney: Good morning, thanks very much.
Mohammad Abu-Ghazaleh: Good morning, Jon.
Jonathan Feeney: When I look at the unit cost performance in bananas, can you give me a sense of how that splits between your actual third-party sourcing costs and just strong performance around efficiency and growing?
Mohammad Abu-Ghazaleh: We don't give those exact numbers Jonathan, it’s a little of both obviously. There was a big focus on efficiency and on - as there always is continually on cost control and efficiencies, but also always trying to get better pricing from the growers. So it’s across the board.
Jonathan Feeney: Well let me ask it this way Richard if you don't mind. I mean were you significantly ahead of your expectations on either or both? I mean ahead of by I mean doing better as in costs lower because I was surprised to see that?
Richard Contreras: Its many factors that work together, Jonathan, one of them is better yields you know better improvement in our farms. Second is less cost, more efficiencies, its several reasons why you know together to make these results come as we see them today. So it’s not one factor or one reason, its several reasons, several factors that work favorable to our favor and I hope that this will be consistent way in the future.
Jonathan Feeney: How about that on the Pineapple business I mean obviously the bananas were just spectacular on the profit side, but you saw some excellent volume in the Pineapple business. Is that despite a tough macro environment? What's driving that strength? I've always thought of that business as economically sensitive and here you are doing better?
Mohammad Abu-Ghazaleh: We are number one, you know we are the pineapple leader in the world, I mean in fresh pineapples. And we can’t meet even our demand today, so hopefully that will continue to grow as well.
Jonathan Feeney: But I mean could you comment on the bar I understand your competitive position, which is strong, but so you're saying you gained share or is that the demand picture? What's driving better demand?
Mohammad Abu-Ghazaleh: More consumption, more outlets, more new buyers, more diversification into the market. I think that getting into new customer base and distribution channel at least consumption and demand and that’s what we are facing.
Jonathan Feeney: Okay. And final I guess my last question for the moment Mohammad is obviously like you said a very strong start to the year. I mean has consolidation in the industry contributed all to a more rational environment or would you say you're doing a lot better than your competitors or would you say the entire industry has gotten more rational both in the bananas and pineapple side over the past 18 months?
Mohammad Abu-Ghazaleh: No. Nothing is rational. We are not talking here about the competition. Nothing has changed. The market’s still the same kind of competitiveness as far as bananas concerned and we haven’t seen any change so it’s all matter of how well each is doing on its own and I believe that we have some better [indiscernible] this time, as far we are concerned, and that’s why we got better results. But I am not talking about our competition. They could be worse or better than us, but each is doing his best to achieve, I guess, the best results they can, but there is no rational change or rational, let’s say improvement in the month.
Jonathan Feeney: Understood. Well thanks very much.
Mohammad Abu-Ghazaleh: My pleasure.
Operator: Thank you. And our next question comes from the line of [Dr. Prajwal] with Evaluate Research. Your line is now.
Unidentified Analyst: Yes, hi, thanks for taking my question. I had a couple of questions. First of all just wanted to understand from you that you have an extended set of results, so just wanted to get an insight what has actually led to such strong results considering the fact that there has been a sluggish overall economy, so I just wanted to understand a brief from you?
Mohammad Abu-Ghazaleh: May I know - I don’t know who you are.
Unidentified Analyst: Yes, hi, it’s Prajwal from Evaluate Research.
Mohammad Abu-Ghazaleh: Yes. I’m sorry, Praj, that I cannot answer your question, because I couldn't hear your question.
Unidentified Analyst: Yes.
Mohammad Abu-Ghazaleh: I didn’t understand.
Unidentified Analyst: Yes. I just wanted to understand from you that can you please give me a list of factors which has actually led to a strong growth in the first quarter considering the fact that there has been a sluggish economy?
Mohammad Abu-Ghazaleh: Well we are doing - I think we are doing the right thing. We have put the right strategy, you know, a few years ago and improved in growth I mean diversification adding new lines of business, cutting our costs, improving our efficiencies, streamlining the business. I mean we’re not an industrial let’s say something that we produce things that can be fluctuating because of the market environment. We’re in fruits and produce, which is a consistent business that everyday market I mean there is fair buyers every day for our products. So we're not so much influenced by what goes in the market in terms of the economy or other factors. That’s been a reason of why we are doing in my opinion better than the market.
Unidentified Analyst: Yes. I go it. So just wanted to get a clarification, do you know is it fair enough to expect this kind of growth for this year. I mean I know given the fact that this is a very complicated business where you can’t forecast it forward. So just wanted to get your view on this, how do you people look for the demand for the coming year especially for banana business?
Mohammad Abu-Ghazaleh: Yes. We are doing our best to continue doing the same job that we are doing today. Of course, we cannot foresee unpredictable event. We are very much influenced by climatic events I mean weather, so if everything is under control I hope that we can do as good as we’re doing now. Of course don't forget our business especially in bananas is a two season event. The first half of the year is usually very strong and very high and second is usually soft so it depends on how soft or how favorable the market is. If it’s up as bad as we are seeing last year, it should be a better year, I hope.
Unidentified Analyst: Yes. But I mean if you see the banana sale for the first quarter, it has been flat I mean the other fresh produce segment has led to this growth, but banana has been flat, so just wanted to understand about that?
Mohammad Abu-Ghazaleh: About the other businesses, we are growing the other businesses and we will continue to grow and we will continue to improve, and we are adding more diversification to our product categories to our business. So in that respect, we will keep growing and keep improving our business.
Operator: Thank you. And we have a follow-up question from the line of Mitch Pinheiro with Wunderlich Securities. Your line is now open.
Mitch Pinheiro: Yes, hi. Just thanks for the follow-up. So when I look back at your banana gross profit margin I mean it’s the best that I’ve seen going back as far as I can go back. And is that just having the right cost at the right time or would you have higher margins, is this going to be a year where maybe just improved profitability is more sustainable?
Mohammad Abu-Ghazaleh: We are marketing bananas in several parts of the world, we have North America, we have Europe, we have the Far East, and we have the Middle East as well. So North America we understand it’s a contracted business, it’s very competitive, margins are very, very low, but we are on another markets where we are making a lot more money that we are making in North America, of course North America is a big volume in terms of the pie. We do make a lot of money in the other markets. So that gives you an idea where we stand today. Last, we have definitely improved our yields and our costs, our efficiencies, so all these factors combined together have helped. Don’t forget those on the fuel side; shipping that has helped as well. So there are so many factors work together let’s say as like [indiscernible], but definitely the business has improved in overall picture.
Mitch Pinheiro: Okay. And then correct me if I am wrong, but don’t your ocean freight costs start to get, you start to lap easier conditions last year starting in the second half is that when it starts to…
Mohammad Abu-Ghazaleh: What do you mean by…
Mitch Pinheiro: Well last year I mean your ocean freight cost will start to - you will see less incremental benefit from that in the second half, is that fair to think?
Mohammad Abu-Ghazaleh: It can be, but we do have long-term contracts.
Mitch Pinheiro: Okay. And then just last question on the Avocado business I mean mark the volume was tremendous, where you getting the volume from I mean that you becoming a greater acquire of the Avocado and are you taking share as just growth of the general category?
Mohammad Abu-Ghazaleh: I think I believe that our demand volumes come from Mexico in the first place, California second place and in some degree to continue as well but these are the - find of ranking that’s the way the volume comes from. As the as we are concern, we definitely have - you have to look at the infrastructure and the reach of Fresh Del Monte into the market and that has really given us tremendous leverage in terms of distribution and sales and marketing. And that’s why we are getting every day, every week new customers to our list and that’s where you see the growth. So yes, market share and as well as natural growth in today’s category.
Mitch Pinheiro: Okay. All right, thank you very much.
Mohammad Abu-Ghazaleh: Pleasure.
Operator: Thank you. And I am showing no further question. I would now like to turn the call back over to Mr. Mohammad Abu-Ghazaleh for any further remarks.
Mohammad Abu-Ghazaleh: I would like to thank everybody for attending this call. And I hope that we will talk to you again at the end of the second quarter with as good or better results than what we have done in the first quarter. Wish you a good day and talk to you soon. Good-bye.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a great day.